Operator: Ladies and gentlemen, thank you for standing by and welcome to the Korn/Ferry Fourth Quarter Fiscal Year 2017 Conference Call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. As a reminder this conference call is being recorded for replay purposes. We have also made available in the investor relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call [Audio Gap] constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned to not place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the company’s control. Additional information concerning such risks and uncertainties can be found in the release related to this presentation and in the periodic reports filed by the company with the SEC, including the company soon to be filed annual report for fiscal 2017. Also, some of the comments today may reference non-GAAP financial measures such as adjusted fee revenue, constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measures, is contained in the financial presentation and earnings release relating to this call. Both of which are posted in the investor relations section of the company website at www.kornferry.com. With that, I’ll turn the call over to Mr. Burnison. Please go ahead, sir.
Gary Burnison: Okay, thank you Kathy. Good afternoon, everybody. With me is Gregg Kvochak and Bob Rozek, I’m going to first make some comments on the year-end quarter and turn over to Bob. This was a very, very good year for us. We achieved almost 1.6 billion in revenue, which is the highest in our firm’s history, it was up 23% at constant-currency this past quarter all of the businesses were up sequentially in our fourth quarter which ended in April. Futurestep was up 10% sequentially, Hay Group was up 5% sequentially, search was up 6% and I'd point out that North American search really had a good quarter, it was up 15% sequentially and essentially all industries were up on a sequential basis. Fee revenue was about 406 million, almost half of our business comes from Hay Group today, profitability was strong, EPS was $0.62. We generated adjusted EBITDA of about 60 million for the quarter or $240 million annualized on revenue, like I said, almost a $1.6 billion. Futurestep continues to top each previous quarter, they were up year-over-year at 15%, as I talked about Hay Group was up sequentially, although year-over-year it was essentially flat at constant-currency, the profitability was very strong actually at an 18% profitability margin but we're not seeing the growth that we'd like to see in that business, we're continuing to make changes to unlock the potential there. You probably saw that this last quarter we made three leadership changes; number one, we brought Mark Arian to lead the business. Mark has a 25 history in professional services with top notch services firms such as E&Y, and AON, and Hewitt, and Towers Perrin -- or I should say Towers Watson. Secondly, we asked Byrne Mulrooney to take on additional responsibility of leading our Hay Group products business which I'll talk about in a second. And third, we took Mike Distefano, who's been a valuable member of our Executive team and we've relocated him to Shanghai to lead our operations in Asia and to pay particular attention and have direct oversight over the next few months for our Hay Group business, in Asia. And so when I think further about the Hay Group business, we first think around two dimensions, part of the business is an advisory business that's about 70% of the revenue, the remainder is products business. So, today we roughly have about $500 million advisory business, and a $230 million product business. If I think about advisory really think the growth is going to come down to five factors. Number one, we got to drive an integrated; and when I mean integrated, I mean enterprise-wide go to market strategy which has to include robust pipeline management. Second, we've got to move that business towards bigger ticket, more impactful assignments. Three, we got to continue to develop talent in the business as well as adding new talent to consult more broadly. You've probably seen we've made quite an investment in people. In the fourth quarter alone we've hired 27 consultants into that -- worldwide into our Hay Group business. Fourth, we've got to continue to instill a commercial orientation. And five, as I've talked about on the last call, we've got to migrate the firm to industries and solution. So when you look at our organization on a solution basis we tend to think of six broad solutions, one of those would be talent acquisition. The other five are essentially resident within the Hay Group business; Although that's not entirely true, there's parts of Futurestep that continue to fit in here but roughly speaking if you look at that Hay Group business from a solutions perspective, we're pretty well weighted with the exception of one solution area. The biggest piece of our business there is assessment in succession, that's about 30% of our Hay Group offering. When I look at three other solution areas; Number one, talent strategy and work design. Two, leadership development; Three, rewards. Each of those are about 20% or so of the business and in the portion that’s underweighted is strategy execution and org design. That's a little bit less than 10% of the overall business. So if you just kind of just think about those solution areas, the one that are the bigger markets that are very attractive for our brand, leadership development and rewards come ringing off the page. Obviously, assessment and succession, we've got deep-deep capabilities and we continue to build and look to build strength in that area, but the two that would be the most, you know the most tangible and the most practical right now around rewards and leadership development which we're obviously working very hard on to drive deeper solution in those areas. If you think about the products business, that has a much different make up than the advisory business. The advisory business is built on our IP, is built on our knowledge, but it's delivered through world class consultants. The products business has a much-much greater opportunity to scale. Not only to scale, but to touch a lot of people's lives. So that business, it's not just people, although it starts with people; But it also entails IP process and technology and so what we're focused on in the short term are some real short-term wins in that business, primarily anchored around our compensation databases. We have compensation information on about 24 million people around the world, 20,000 companies; we license that out. We're looking right now over the past several months and the next few weeks to continue to add packages to the underlying solution that we offer to drive greater impact to drive greater value with clients and so there's some things we're doing short term on the product side, and there's some things that we're doing that are going to take -- that are more in the medium term horizon and that really revolves around creating a strategic software as a service platform for talent management that links together the IP and enables company to better manage their talent. So that’s how I think about the Hay Group business, very encouraged by the sequential improvement in the business, but there is a lot more that’s going on under the surface of the car than meets the eye. So that was really the quarter, very good, I'm very proud of this organization, I think we got a strong, strong appetite to grow and to change. And with that I guess, Bob, I'll turn it over to you.
Bob Rozek: Great. Thanks Gary and good afternoon, everyone. I'm going to start out with a few key highlights. First, Gary indicated our fee revenue in the fourth quarter was seasonally strong with sequential growth in all three of our major service lines. Revenue came in at $406.1 million. For executive search fee revenue growth in the fourth quarter was the strongest in North America and in EMEA which grew at 3% and 10% respectively that’s year-over-year at constant currency. We also continued to see strong growth in Futurestep where our revenue for the fourth quarter improved to approximately $59, which was up nearly 14% year-over-year at constant currency. And then again, as Gary indicated for the full year, our adjusted fee revenue grew to approximately $1.57 billion which was up over 20% year-over-year. And the primary drivers of that were the legacy Hay Group and the organic growth that we saw at Futurestep. Second, our earnings growth trends continued to improve in the fourth quarter. Our adjusted EBITDA was 60.1 million; that's an improvement of $5.3 million and nearly 10% compared to fourth quarter. And for the full year our adjusted EBITDA was $235 million net generates at 15% margin. Operationally, since the beginning of the calendar year, we've increased the pace of our investments spending focused on driving growth in each of our business segments, this includes spending targeted at the reshaping of our work force, the hiring and on-boarding of new consulting talent. In the fourth quarter alone between executives spirits [ph] in Hay Group we’ve added 45 new fee earners, many of whom you've seen public announcements on. All of these new hires are experienced, they are seasoned consultant who will complement and enhance the productivity of our existing team. After a period of ramp up we expect the new fee earners to be fully productive within the year and to make positive contributions to growth by the second half of fiscal '18. And I would also note that we've been proactive in managing our work force as we manage out our lower performing consultant. And then finally, in the fourth quarter we continue to execute a balanced approach to allocating our capital. This includes the payment of quarterly dividend of approximately $6 million, as well as the going repurchase of our shares. Over the last three quarter we've repurchased approximately 1.1 million shares and that's at an average price of above $25.27. This approximates about 2% of our outstanding fully diluted share base and we currently have about a $125 million remaining on our share repurchase authorization. Now turning to our new business trends. First, for executive search, globally our monthly new business for executive search have improved since the beginning of the calendar year. In the fourth quarter, our consolidated executive search new business was seasonally strong and reached nearly $169 million and this trend was especially strong in North America, where our new orders in the fourth quarter were up about 17% sequentially. Similar to executive search, new business in the fourth quarter for Hay Group was seasonally strong and that was up about 14% sequentially, and then finally current pipeline of new business for a Futurestep remains solid, they have $38 million of awards that were secured in the fourth quarter and there was one large new RPO win that just missed the cut-off of April 30 and it was awarded to us right at the beginning of May. At the end of the fourth quarter, our cash and marketable securities position was $531 million, that's up about a $116 million compared to Q4 of last year. Excluding amounts reserved for the deferred comp and for accrued bonuses, our investable cash balance was approximately $245 million, that's up about $156 million year-over-year. And we had outstanding debt at the end of the year about $256 million, and that's roughly equivalent to our investible cash balance. Finally, our adjusted fully diluted earnings per share for the quarter were $0.62 and adds-up $0.04 or 7% compared to Q4 of last year. And on a GAAP basis, our earnings per share were $0.47 for the quarter and then for all of fiscal '17, we generated adjusted EPS of about $2.24 and that up about 8% year-over-year. Let me turn it over to Gregg, who'll review our operating segments in more detail.
Gregg Kvochak: Okay, thanks Bob. Our executive search segment finished fiscal '17 strong achieving a record $162.3 million of global fee revenue in the fourth quarter which was up $2.6 million or 1.6% measured year-over-year at actual rates, and up approximately 3% measured at constant currency. Regionally growth in the fourth quarter was driven primarily by North America and Europe. North America achieved a record fee revenue of $97.3 million which was up nearly 3% year-over-year and 15% sequentially. In Europe, fee revenue growth year-over-year was 3% at actual exchange rates and over 10% at constant currency. By specialty practice, executive search fee revenue growth was mixed in the fourth quarter. Compared to the fourth quarter a year-ago growth in our industrial practice up 15%, technology practice up 12%, and our consumer goods practice up 4% was offset by slower demand in our financial services and life sciences and healthcare practices, which were down 5% and 17% respectively. For all of fiscal '17 the executive search segment generated approximately $618 million of global fee revenue at actual exchange rates, which translated at last year's exchange rates was approximately $630 million. The total number of dedicated executive recruitment consultants worldwide at the end of the fourth quarter was 517, up 29 year-over-year and up 10 sequentially. Annualized fee revenue production per consultant in the fourth quarter was $1.27 million and the number of new search assignments opened worldwide in the fourth quarter was 1,525, which was up approximately 4% year-over-year. Consolidated executive search adjusted EBITDA in the fourth quarter was $34.2 million which was up $2.5 million or 7.7% compared to the fourth quarter of fiscal ’16. This improvement was primarily driven by stronger fee revenue in the firm’s largest executive search segments North America and Europe. The consolidated executive search adjusted EBITDA margin in the fourth quarter fiscal ’17 was 21.1% compared to 19.9% in the fourth quarter of fiscal ’16. Now turning to the Hay Group, which in the fourth quarter of fiscal ’17 completed its first full year of integrated operations. Hay Group achieved seasonally strong fee revenue of $185.1 million in the fourth quarter or $188.2 million translated at constant currency. Measured year-over-year flat fee revenue in Europe was offset by slightly weaker fee revenue in all other regions. As previously mentioned, new business activity for the Hay Group in the fourth quarter was essentially flat measured year-over-year. The profitability of the Hay Group remained strong in the fourth quarter. Adjusted EBITDA for the Hay Group in the fourth quarter was $33 million with an adjusted EBITDA margin of 17.8% and year-over-year improvement of $2.3 million with 190 basis point improvement in margin. For all of fiscal ’17, the Hay Group generated $728 million of adjusted fee revenue or $128 million of adjusted EBITDA with an adjusted EBITDA margin of 17.6%. Finally, turning to Futurestep which competed it's four straight year of double-digit revenue growth. In the fourth quarter Futurestep generated $58.7 million of fee revenue which measured at constant currency was up 13.8% year-over-year. Balancing investment to support future delivery capacity related to the recent sharp increase in new business, Futurestep was also able to achieve improved earnings in the fourth quarter. Futurestep’s EBITDA in the fourth quarter was $8.8 million, with a 16% margin. For all fiscal ’17, Futurestep generated approximately $224 million at fee revenue, just up 15% year-over-year at constant currency and $32.8 million of EBITDA. Now I'll turn the call back over to Bob to discuss our outlook for the first quarter of fiscal ’18.
Bob Rozek: Great. Thanks Gregg. As previously discussed, our new business activity in the fourth quarter was strong. Globally new business and executive search has follow the usual historical monthly pattern where it peaks at annual highs in March, settle slightly lower in April before it picks up again in May. Following our historical pattern, we expect executive search new business activity to be strong in both June and July and what we seen so far month-to-date June really supports that. For the Hay Group, the fiscal fourth quarter was a good quarter for new business and May new business improved on a year-over-year basis. In general, our fiscal first quarter is a seasonally slower quarter or revenue for the Hay Group, in part due to the beginning of the summer vacations season in the quarter. With regard to Futurestep, new business activity is expected to remain strong as we continue to see a strong pipeline of new opportunities through the first quarter. As discussed earlier to drive our top line growth we've made a conscious effort to accelerate the pace of fee earner [ph] and select support staff hiring since the beginning of the calendar year. Fourth quarter, we added 18 new consultants in executive search and 27 new consultants at the Hay Group. As usually the case due to the time required for ramp up many of the new hired consultants will not immediately bill at their full capacity and therefore these new hires will create some downward pressure on earnings and margins in the first quarter of fiscal '18, considering all of this together and assuming worldwide economic conditions, financial markets and foreign exchange rates remain steady, we expected our consolidated fee revenue in the first quarter to range from 382 million to 400 million, with a $391 million midpoint and our consolidate adjusted diluted earnings per share to range from $0.48 to $0.56, with a $0.52 midpoint. And then finally as we previously disclosed, our post acquisition integration activity related to the Hay Group is now complete except for the co-location of a couple of international office, one of which is scheduled to be completed during the first quarter; we expect the other one to be completed in the second quarter. The office that we're co-locating in the first quarter will have a charge of about 800,000 to 1.3 million and consistent with prior quarters included in the integration acquisition costs are approximately 2.6 million of the ongoing Hay Group acquisition related retention bonuses and if you recall those will conclude in December of 2018. So, including these costs we estimate the fiscal '18 first quarter fully diluted earnings per share measured by U.S. GAAP will be in the range of $0.43 to $0.51. So, with that I'll conclude our prepared remarks and we'll be glad to take any questions that you have.
Operator: Thank you. [Operator Instructions] And our first question will come from Tobey Sommer with SunTrust. Go ahead please.
Tobey Sommer: My first question has to do with capital deployment, you're at about net cash breakeven right now and the business probably slated to grow up a historical normal amount of cash flow, somewhere like 70% [ph] EBITDA, Gary how do you think about capital deployment given that you bought Hay a year and a half ago or so and you're trying to rev up the growth now?
Gary Burnison: Well I think on a longer-term basis, it's -- if I think about kind of the last decade, our market cap has tripled probably, but our share price has not tripled. The reality is that, we have not bought back enough stock to offset the overhang from restricted stock and performance unit and all that, so I think that one thing as I think about capital deployment is we must at least take care of the overhang that comes about from issuing equity to employees, I think that's something we have to do. I think I think we have to be systematic about it and so we're going to continue to do that. Obviously, you know we have a dividend, so I'd probably change my orientation a little bit. Just when you add up the dilution that's happened over the past several years where I think we need to do something, we have to make a commitment as a Board to shareholders to do something about that, but we're still continuing to look at potential investments, acquisitions. So I would hope that it's balanced, maybe there's a little bit more of a skew towards a systematic buyback as we've been executing it.
Tobey Sommer: Okay, you kind of called out rewards in leadership development within Hay, slices of the revenue pie chart that you'd like to emphasize. Did the higher year-to-date within Hay, do they reflect that emphasis and are they kind of directed more towards those two areas than the other three?
Gary Burnison: Half of them probably do, particularly as it relates to the rewards area. That's absolutely the most tangible. We have a substantial amount of IP and data, so I would say that you know half of the consultants clearly relate to rewards and leadership development with actually more of an emphasis on rewards. And the rewards area is the most immediate opportunity for the product piece of that business as well. In terms of the other hires that were made, those are more broad-based consultants around strategy execution or design, work design and talent strategy [Multiple Speakers] and some of those obviously have you know pretty deep industry expertise as well.
Tobey Sommer: Futurestep would revive growth up to the double digits, you know made some investments as well and it kept the margins healthy. What's your -- do you have any updated thoughts on what long term margin prospects are for Futurestep?
Bob Rozek: I think Tobey, I think they would continue to be consistent with what we've been talking about in the 14% or 16% range. 
Tobey Sommer: Okay great, then the last --.
Bob Rozek: Right in the middle of that, there's room for margin expansion towards the higher end of that range.
Tobey Sommer: Okay, and I don't know if you have this handy, but when you mention new business you gave some of the changes on a sequential basis do you happen those on a year-over-year basis?
Gary Burnison: Sure. Toby what would you like to know?
Tobey Sommer: Just the three segment's new business on a year-over-year.
Gary Burnison: Yes so, for executive search fourth quarter new business was 2.3% year-over-year and the number of units that go with that were about flat on a year-over-year basis. And then for Hay Group they were essentially flat year over year new business.
Tobey Sommer: For what period of time?
Gary Burnison: That's for fourth -- versus fourth quarter last year and then give me a second here. We were down year-over-year at Futurestep, but as Bob mentioned we had a number of large orders that slipped past the April 30th cut-off and into May.
Bob Rozek: Tobey there was one large one, it was about $18 million, we thought we'd get in April, but it just didn’t get signed until early May.
Gary Burnison: Right, so we did $38 million of new orders in our fourth quarter this year and we had done $58 million prior year's fourth quarter. So essentially if we -- that hadn't slipped it would be flat [Multiple Speakers].
Operator: Thank you, our next question is from Kevin McVeigh with Deutsche Bank. Please go ahead.
Kevin McVeigh: Could you give us a sense -- just directionally really nice outcome; is there been any change in CEO confidence, post the election, trying to get a sense of if there is initial optimism, is there some uncertainty. Has that impacted CEO hiring decisions, I would say based your hiring activity probably not, but then just any thoughts on current operating environment?
Gary Burnison: Not yet, but if this continues to go like this where no major legislation is passed. It will impact confidence, there is no question about that.
Kevin McVeigh: Got then Gary or Bob, any sense of, obviously lot of revenue enhancements in terms of investment in the people, how much that sapped that Q1 margin and EPS, I guess in another way, obviously really good guidance, but if were to quantify, how much stronger would have been if not for those investments given the leg of when you bring them in versus --.
Gary Burnison: For the first quarter guidance?
Kevin McVeigh: Yes. 
Gary Burnison: Yes it definitely there is an impact, it's probably on the total firm, it's probably a 100 bibs, I would guess. No, it's significant and we’re trying to balance -- trying to balance flying a plane and investing to go to the moon too.
Kevin McVeigh: Sure, and then Gary, I haven’t heard as much time on Hay, probably a very long time, I mean just strategically does that stay as advertise, do you look [indiscernible] bringing Burn over given it's the same successes he's had at Futurestep. How do we think of that business longer term?
Gary Burnison: I think we have to think that the product business is the most tangible path to grow in this investment Horizon for shareholders. I think that you can sink your teeth around that, it has exceptional profitability and its easier to scale. I think more medium term the advisory business is compelling, its obviously dependent on people, but the key there is, we just got to move the average engagement size there. If you really want to see a list in that business, we have to be successful around our marque account, the program in our big appliance and the like. You really have to believe that you can move the business towards more impactful assignments to actually change the growth profile of the advisory business.
Operator: Thank you. Our next question comes from Tim McHugh with William Blair. Go ahead please.
Tim McHugh: First on, I guess the leadership consulting, I understand it's helpful discussing what you're going to change from here. I guess just for context, what's been harder since you bought it? I guess if I were to [indiscernible] we would have seen some improvement in our organic growth at this point and maybe would have thought [indiscernible] also curious what you've found has been more challenging to change [indiscernible] maybe a year-ago or a year and a half ago when we bought it?
Gary Burnison: I think you are right on the headline observation I certainly would have thought that as well. The good news is the business is essentially the business that we put together pro forma but going back a year and a half ago, 18-months ago of course that's also the bad news. I think that's the thing that's hardest to change there is the significant -- the number of engagements, the number of client engagements that our smallish in nature. That to really be able to move that business towards more impactful assignments, all of the folks that we have are fabulous, but they are very-very busy and if you look at a world class consulting organization, you would not find kind of normal ticket sizes that are six figures, you would find them to be seven figures. So if you have a consulting business that is kind of in six figure assignments and just to create scale, utilization all of that, the reality is it's hard to get those talented people that are busy executing to deliver on those what I would say sub-optimally sized engagements to get their mind share and their time to actually farm and mine for bigger engagements is practically -- it's very hard to pull-off. So that's one reason why we will not only kind of developing the folks that we have today 55% of our workforce is millennials, but as important when we got to give our organization a booster shot by bringing in talent. So I think that paradigm of how busy that organization is to execute on what I would call sub-optimal sized engagements compared to many, many consulting organizations has been the toughest.
Bob Rozek: And the other thing -- this is Bob, the other thing I would add to add and this is a non-excuse, the fact that we put the organization through a significant amount of change last year and we co-located 85 offices and we moved everybody to a common platform from a technology perspective, of process perspective and they were major-major changes for folks in the legacy Hay Group. So I think that to some extent with that being behind us now it gives us the opportunity and the ability to focus on exactly was Gary was talking about without sort of the side shows if you will.
Tim McHugh: And just to follow-up when you talk about going after big engagement, is it shopping for or kind of for the broader engagements in terms of the scope of the work is it bigger company?
Gary Burnison: Broader engagements, not so narrowly defined and focused, but selling one a day delivering one a day vitamin versus just taking a vitamin C and D and E; it's to be a little bit broader and linking together our capabilities to making more solutions oriented, so that they’re broader in nature.
Tim McHugh: Okay. And then just number one, numbers I want, tax rate has been kind of all over the map this past year, incredible weight to the downside. But what should we think about at the first quarter and at the end of perspective on an annual number?
Gary Burnison: Yes. I'd probably penciling Tim, somewhere around 30% plus, minus. But right around 30% probably not a bad rate to focus on. And then if you recall in our prior conversations, that number has come down and a lot of that is the result of the Hay Group acquisition and so much of our earnings being outside the U.S., which is obviously taxed at lower rates.
Operator: Thank you. Our next question is from Mark Marcon with RW Baird. Go ahead please. 
Mark Marcon: I was wondering, it sounds like you’re pretty well done with a lot of the steps that you were taking in terms of the integration. To what extent have we fully reflected all of the savings or how much more is to come in terms of just the savings from the discrete steps that you were going to take on hand?
Bob Rozek: Yes. I think the savings Mark, are essentially baked into the numbers that we’re reporting. Now there is not, we had a little bit of restructuring activity in the fourth quarter, but it’s kind of rounding, when you think about the impact is going to have on the business. I mean for us to -- really where it’s all right now is at the top-line synergies getting the revenue growing as Gary indicated.
Mark Marcon: I mean, at the current revenue run rate. How would you think about the margins? And then if you could elaborate in terms of what you would optimally hope for in terms of the revenue growth rate in Hay and then if we get that level of growth where would the margins potentially get to?
Bob Rozek: Okay. There is a lot in that question.
Gary Burnison: With the growth rate, I mean, I think first the -- I’ve always said although we have [ph] been able to deliver for sure. I’m looking for a 10% organic growth rate in our business. Now, when you look at that, I would hope that the product piece of it would be substantially higher than 10 and the advisory business maybe a little bit less than 10. But that in terms of -- that’s how I would look at the top-line of that business.
Bob Rozek: Yes. And I would say from a margin perspective. I think as we have communicated in the past, we’ve got the ranges by each of the lines of business and I would see us staying very consistent with that and as we are able to drive greater top-line growth, obviously, we’ll get leverage and we’ll see ourselves towards the higher points in those ranges.
Mark Marcon: So I mean as it relates specifically the Hay, thinking that it could be in that 15%-ish range?
Bob Rozek: No, longer term, I think it’s higher than that Mark. I think it’s probably close to somewhere in the 17% to 18%, maybe north of 18% range on the Hay Group.
Gary Burnison: Well this quarter was 18%.
Bob Rozek: Yes.
Mark Marcon: Right. But you mentioned that you’re making some additional [Multiple Speakers] I was just trying [Multiple Speakers] for the first quarter it's going to be less, but --.
Bob Rozek: Yes, we'll see some degradation in the first quarter as Gary indicated, for the company wide it's about 100 basis points, but as we exit the year and start to see the new hires become productive, we expect to back towards the -- where we are in the fourth quarter on the Hay Group.
Mark Marcon: And can you just elaborate with regards to the product and you've -- Gary, in the prepared remarks you talked about doing more on this staff side, can you -- would you make an acquisition in order to do that or would it be -- continue some of the IP development that you've already done into --.
Gary Burnison: Well I think to be -- it would have to be accelerated through an acquisition for sure. I think that's the most practical, but having said that there are many different possibilities that we can do, one is to, we license out our IP on the culture side, on the engagement side, and so we're working on how can we link, there's obviously a pretty high correlation between compensation and engagement, we're working at how we can link those together to be more of a platform and you can also tie that in with managing talent more broadly.
Mark Marcon: And then a detailed question from the last quarter, just upticks, how much of the benefit was that?
Bob Rozek: The upticks were probably in the general range, it wasn't anything unusual based on the quarter [Multiple Speakers].
Gary Burnison: They were almost dead flat Mark, on a year-over-year basis. Nothing unusual on that.
Bob Rozek: Yes, nothing unusual on that.
Operator: Thank you. And our next question will come from Marc Riddick with Sidoti. Please go ahead.
Marc Riddick: So, I wanted to touch a little bit on -- there was a question earlier about CEO confidence, post-election. I wanted to sort of maybe take a similar step to that around the thoughts in the EMEA region in light of having some of the elections behind us, I know it's more recent, but I wanted to get a sense of if you're seeing any changes or thoughts in that area?
Gary Burnison: I met with many-many business leaders in Europe last week actually, I think there's a great hope in France, but I think we all know it's hard to take things away from people once they've been given it, and in the UK specifically I think there's uncertainty. In terms of where this is going to shake out, so I would say it's kind of hopeful in France, steady-as-she-goes in Germany and uncertainty in the UK.
Marc Riddick: And then one other thing I wanted to touch on it, I think you mentioned and correct me if I misheard this, but I think you had mentioned in the earlier part of your prepared remarks that you're somewhere around 24 million -- data on 24 million professionals at this point, if that's correct? And I wanted to get a sense of what type of efforts are being made or what type of upside might be there as far as sort of maybe expanding the pool of the data that's available that would then be translated into these software offerings?
Gary Burnison: Yeah, no that's a great question. One of the compelling propositions for us is that every three minutes we put somebody in a big job. So everyday we're getting compensation data points that are real time and whether those are hundreds of data points or whether those are thousands of data points, that is something that a stale once a year survey cannot do, and that's what we have to capture. Now that's not a next week endeavor by any stretch of the imagination, but that's the opportunity for sure.
Marc Riddick: So is it fair to characterize it as saying maybe that as you're adding, maybe just the 24 versus 20 it was when the deal was initiated, might not necessarily reflect the breadth of the data that you're actually getting on the additional X million folks and ideally, you're looking for a broader reach of what that data can be offered? Is that a way to put it?
Gary Burnison: No, I think that's exactly right. We're going to try -- we can have a spot market. Every day we see what the spot rates are, so that should be totally factored in to the database that we license and people should have a view of what that market is. I think secondly there are opportunities to link that data with engagement you know answered to Mark Marcon's question. Third, we've got an opportunity to make the data ironically more U.S. centric, and today it's not so much.
Marc Riddick: Okay great, thank you very much.
Operator: Thank you, and it appears there are no further questions Mr. Burnison, please go ahead with any closing remarks.
Gary Burnison: Okay, well look, Summer Solstice 2017, I think this a firm that's certainly not the same from what it was 10 years ago or even a year ago, but I'm telling you we're not the firm that we know we can be either. Therefore, this journey is all about a desire to win and it's all about a desire to change and to be agile and that starts with people. So it's the same proposition that we offer to clients, we to need to take our own medicine. So listen thank you very much for your time and we look forward in speaking next go around. Kathy thank you.